Carey Mann: Good morning, everyone. And thank you for joining us for Bentley Systems’ Q2 2021 Operating Results webcast. I’m Carey Mann, Bentley’s VP of Investor Relations. On the webcast today, we have Bentley Systems’ Chief Executive Officer, Greg Bentley; Chief Financial Officer, David Hollister; and Chief Product Officer, Nicholas Cumins. Before we begin, allow me to provide a disclaimer regarding forward-looking statements. This webcast, including the question-and-answer portion of the webcast, may include forward-looking statements related to the expected future results for our company and are, therefore, forward-looking statements. Our actual results may differ materially from our projections due to a number of risks and uncertainties. The risks and uncertainties that forward-looking statements are subject to are described in our operating results release and other SEC filings. Today’s remarks will also include references to non-GAAP financial measures. Additional information, including reconciliation between non-GAAP financial information to the GAAP financial information, is provided in the press release and supplemental slide presentation. This webcast will be available for replay on Bentley Systems Investor Relations website at investors.bentley.com. Greg will begin by reviewing business developments and our progress over the last quarter. Greg will be joined by Nicholas, will provide an update on Bentley’s Seequent business. David will then take you through a review of the financial results as well as an update of our 2021 guidance. We will conclude with Q&A. And with that, let me introduce the CEO of Bentley Systems, Greg Bentley.
Greg Bentley: Good morning, as the case may be, and thanks to each of you for your interest in Bentley Systems quarterly operating results. Our prepared remarks today will follow our usual format with the addition of a presentation by our Chief Product Officer, Nicholas Cumins to introduce our new Seequent business unit. Interspersed throughout this agenda, I will provide some timely updates as to our work with digital co-venturers, Microsoft and Siemens. For the first time, our report today includes an update to our financial outlook for the year. Also for the first time today and observations about the tone of business, I would like to reset from recent convention. Last quarter, my narration provided yet further updates to the gyrations, which characterized in particular, our applications usage during the pandemic, which began over a year ago. But now that we're lapping those 2020 periods, and even though financial reporting needs to focus on such comparisons, it makes more sense to leave comparisons to the erratic trends of 2020 behind. My observations now and going forward will more so be informed by reference instead of to healthy pre-pandemic conditions. What I think about and we'll shortly speak about notable new business trends by sector, geography and/or product brand, I have in mind comparisons, especially to 2019, rather than the average past year. For each quarter to-date, including after 2021 Q1 shown here, we have started our tone of business narrative with the directions of application usage within each respective infrastructure sector, since that's where the trends of the pandemic impact have diverged most. The natural reason to start with application usage is that it's traditionally, literally the leading indicator of our new business growth, which particularly underlies ARR growth. And then in due course revenue growth, the proportions of revenue attributable to each of our commercial miles is shown here, as of last quarter. Earlier this year, I showed the incentive plan, which all of our quota carriers share based on the same new business growth that is quota achievement measure, which I will remark upon today. Recall that our accretion and recurring revenue attracts higher quota credit coefficients and do for instance, one-time license sales. In fact, this quarter continues the trend of decline in license sales in favor of our mainstream subscription offerings. For the first half of 2021, license sales were down to under 5% of revenues from 7% in the first half of 2019, relatively benefiting our recurring revenue proportion. We have ever last exposure remaining to this amplifying source of cyclical volatility. We have focused for tone of business on directions and application usage because usage presages new business growth, and eventually revenue. That connection between application usage and ARR and revenue is increasingly short-circuited, as we have repeatedly emphasized by the increasing proportion of our business model, which is directly E365 consumption-based. To the extent of the E365 proportion of our business model, changes in both our ARR and new business growth and revenues follow usage directions in the span of a calendar quarter or less. This was our revenue mix by commercial model for 2021 Q1. As you see here, 2021 Q2 was another successful quarter and continuing to upgrade our enterprise accounts to the E365 subscription program. Now, David Hollister will help with understanding the obscure consequences under Topic 606 accounting of each such quarterly change in our business model mix and thus, in our subsequent quarterly seasonality. We expect new upgrades to 365 subscriptions for years to come, including to the majority by dollars of accounts currently under select subscriptions. As we return to discussing comparative directions across sectors of our application usage. Bear in mind that our observations about application usage are as two totals, which count any day as usage of any application equally. In fact, our applications, very respectively by almost an order of magnitude in value of consumption that is what we charge, depending in general, on the application's degree of specialization. In response to your good questions about drivers of organic growth, earlier this year, I introduced the term application mix accretion to measure the proportionate increase in our average dollar yield per application day and abstracting from pricing changes. As we manage by degrees to upgrade users to more valuable products, application mix accretion is a virtually unlimited source of new business growth for us over the long-term. As in this example from back then of upselling the MicroStation user to become a user of OpenRoads, much more valuable to the user and to BSY, I mentioned this in connection with E365, because one of the reasons E365 is a priority for us. And for our accounts, is that a major responsibility of our success teams that we virtually embed within E365 subscriber organizations is to lead the way in going digital through what we call success blueprints to new digital workflows, advancing in digital workflows, naturally results in more application mix accretion. So far in 2021, E365 has helped us achieve overall application mix accretion that annualizes to several percentage points of ARR growth. And of course, application usage doesn't include our ProjectWise and AssetWise enterprise cloud services, which has consistently grown faster. Back to application usage by infrastructure sector, but now for trends in reference largely to pre-pandemic usage levels, I'm pleased to say that for us, the overall commercial facilities sector, which had been variously sideways yellow for more than a year is now back to growth over the pre-pandemic period. It does remain the case that usage by contractors and commercial facilities, primarily architects and building engineers lags behind usage by owner-operators. As a hypothesis to account for this, I cite the example of Bentley Systems. I consider that prior to the pandemic, our colleagues, almost all in our company facilities every day, if not traveling we're infrastructure dependent. But next, during the pandemic and largely still while maintaining our productivity, primarily working at home, I consider that all of us have been on the other hand, infrastructure deprived. I frankly think that while virtualization sustained or even increased our quantity of work, our work quality may have suffered without in-person collaboration and the stimulation of purposeful office settings. So my description of the improvement, we should now be able to achieve as we transitioned to degrees of freedom, which take advantage of both workplace and home environments is infrastructure empowered. And this image is from our internal website, sharing this plan with our colleagues. Each of our managers and colleagues will work out a hybrid work balance appropriately valuing quality versus quantity. But to attract colleagues to our office by their choice, I regard that we need to make our offices magnetic in their appeal to get more work done better. It will be worthwhile for us to make the needed upgrade investments for infrastructure empowerment. And I think that's true across our economies. A considerably larger scale example is Siemens Stock Square, where Siemens began in Berlin. Siemens just announced its framework contract with the city to revitalize and construct this urban district with 1 million square meters of diverse new space for Berlin's characteristic innovations. Siemens Real Estate has contracted with us for exemplary project and asset digital twin cloud services to span the supply chain and life cycle. In turn, we and Siemens mainstream smart infrastructure business are now jointly pursuing opportunities globally for campus digital twins, to support planning and construction, operations and asset management. Moving on to our next larger industrial resources infrastructure sector. I'm sorry to report that the decline in our application usage has continued by contrast to commercial facilities. Recall also that most EPCs, the couple dozen have necessarily large engineering procurement construction contractors who perform the mostly fossil fuel related CapEx project for industrial resources owner-operators, have elected to become E365 subscribers, presumably to share with us, the inherent cyclical volatility in their own work. Their revenues fall within the 20% or so of our revenue mix from the industrial resources sector, which also includes the owner-operators whose usage is not as volatile because it relates primarily to continuous operations and maintenance where going digital has become a higher priority under cost pressures. Despite this being the small minority of our business, these EPCs are responsible for a significant offset to what has otherwise been relatively consistent application usage growth in the great majority of our accounts and products. To quantify this, if not for the pandemic’s macro impact upon these EPC accounts, our 106% recurring revenue net retention rate would have been about 2.5% higher, 108.5%. We can also now say having observed the year plus duration to-date of the step in application usage by EPCs that even though E365 caused the impact on our ARR and revenues to occur much sooner than would have been the case under the predecessor ELS program, which reset only annually in arrears. By now, even if there were still only ELS, these backward resets would have occurred and we would have been locked into the resulting lower ARR and revenues for the full future contract here. Under E365, we believe we can better help the EPCs to diversify their own project mix in favor of new energy transition projects and towards other infrastructure sectors. It's also the case that energy prices have generally rebounded and the EPCs themselves are somewhat optimistic that their backlogs will recover over the coming year. By geography, this unfavorable industrial resources sector phenomenon has decimated our new business growth from the Middle East and has considerably decreased new business growth in Southeast Asia, which has significantly reliant on producing offshore oil and gas facilities for the world. And I want to bring attention to a new concern in China, which is now tending to offset continuing subscription growth there. During this year-to-date, we have experienced a rash of unanticipated outright subscription cancellations within the population of midsize accounts in China who have for years subscribed, escalating fixed annual prices to our China-specific enterprise program. I suspect that geopolitical issues are probably a factor because on the one hand, our Chinese channel partners who manage these accounts now face burdensome differential tax treatment for foreign versus local software. And on the other hand, the user organizations are now required to repeatedly and formally justify why they can't use local software instead. Together this unanticipated and unprecedented attrition among this segment of accounts in China compared to our normal global rate of attrition is costing us so far this year, about a further 0.5% in net retention rate. Because we don't think there are product issues, we will next try to reinstate these account relationships through E365 programs where we can inherently maintain through success management, greater continuous visibility as to their usage and their engagement. Overall, we think the solution will require us to work more creatively with local Chinese partners. And we are prioritizing both commercial ventures and technical innovations, local Chinese cloud services to accomplish this. The unmatched upside scale of the Chinese focus on going digital and infrastructure engineering makes this more than worthwhile. And we still have reasonable expectations I think to achieve as we ultimately did in 2020, world-leading new business growth rates in China, by the end of this year. Returning to infrastructure sectors, I’m pleased to report that in our mainstay public works and utilities infrastructure sector, application usage, and recurring revenue net retention continue to inflect upward globally since before and throughout the pandemic. Most notable new business growth in magnitude and proportion and duration since pre-pandemic levels has been most recently led among applications by our SYNCHRO 4D construction offerings, our geotechnical offerings, PLAXIS and OpenGround, our OpenFlows water modeling software and OpenBridge. Most notable new business growth geographically is led by the UK, North America, Continental Europe, and Russia. In corporate developments, we review the relevant external news of the day. On August 5, literally as I prepared these remarks, we went live on the Microsoft commercial marketplace for the first transactions to distribute our Instant On, cloud-native ProjectWise 365 through this new e-commerce channel, which already serves 4 million users per month. ProjectWise 365 is well integrated with Microsoft Teams and is accordingly now easily accessible for discovery and self-service procurement by the 250 million plus Teams collaborators. Going to market now through the Microsoft commercial marketplace, reinforces our own direct e-commerce investment through our Virtuosity initiatives to reach especially new SMB prospects. Our new business growth through virtuosity subscriptions grew by over half from 2021 to the first quarter to the second quarter. The majority of Virtuosity’s new ARR is from new SMB accounts. New accounts, largely SMB contributed ARR growth of 1.5% in this year’s first half. That is 3% annualized growth rate, which is much higher than in previous years. I should say, however, that we don't yet have representative experience with Virtuosity renewal rates where attrition may turn out not to be as low as our norm at large. To update our external market checks, the studies here haven't been updated by their author, but here are our penetration rates among ENR’s 2020 rankings published this spring of top design firms, respectively for our design applications portfolio among all 640 and for ProjectWise among the top 50. And the ARC Advisory Group has just published its annual market analysis study for engineering design and BIM software. And we're gratified to see ProjectWise earned the number one market share ranking again for collaborative BIM. The distinctively industrial strength collaboration, which has earned ProjectWise, the role of workforce for work sharing across the largest global design organizations, they came in necessity in 2020 to virtualize and going digital the work of every infrastructure engineer in virtually every organization. And these combined markets, ARC continues to rank our overall share second to Autodesk, but with Seequent, we are for the first time ranked number one in mining, while we continue to be ranked number one in water and wastewater distribution, and it is particularly significant to continue to be acknowledged as number one in electric transmission and distribution, combined with communication networks, with major investments in these areas being now explicitly prioritized all over the world. In fact, in this year-to-date notable standouts in new business growth include both our OpenUtilities applications for the energy grid and our OpenComms applications for communication networks. Of course, last quarter, I spoke at length about the pace setting opportunity for communication towers, digital twins. For all these reasons, I'm enthusiastic about our recent acquisition of SPIDA, established software leader for the utility poles, structures and distribution networks on which we all rely in North America, to further extend OpenUtilities to this last mile. To the extent that all plans for energy transitions and carbon reduction goals depend on electrification and on distributed generation and storage, upgraded networks of utility poles are key resources for our resilience. Great digital twins for transmission and distribution and for communications represent appealing investments that merit our full attention. The ARC Advisory Group is very thorough and comprehensive in its research. As many of ARC subscribers operate industrial facilities, ARC has reported from the start on our joint development with digital co-venturer, Siemens of plant site, our digital twin cloud service for operating process plants. It took some years to build out the scope of plant site, as we insisted upon a native SaaS implementation based on our new iTwin platform, but it is now fully brought to market by both BSY and Siemens digital industries. ARC recently issued this report of case studies from representative plant site implementations, including extensive interviews with the responsible engineers and I recommend it. Also by way of updated external market research, recall that we have estimated our TAM based on the work of research firm, Cambashi, which estimated engineering software spending by respectively all product engineers, it's my term. They say manufacturing, compared to all infrastructure engineers, where they say AEC, they have just completed for us an update from the year 2018 to the year 2019. And we haven't prepared new materials yet, but while one result is about a 5% higher TAM estimate, their more immediately interesting finding to me is that from 2018 to 2019, that's all pre-pandemic, manufacturing spending on engineering software increased about 7%. While spending on AEC software increased about 12%. So this is consistent with the premise of our TAM approach that this gap in spending per engineer will close, with infrastructure engineering here confirmed to be already relatively accelerating and going digital. The final external market development that I will remark upon is our successful offering of convertible notes during the quarter. I leave to David Hollister, the discussion of its terms and our current capital structure. To me, the significance is that this reinstates following the Seequent closing, our full capacity for opportunistic acquisitions, in addition to our ongoing programmatic portfolio development program. To support my premise that such opportunistic acquisitions can well serve our shareholders and now bondholders, you will hear about Seequent from both a financial standpoint from David Hollister and as to its strategic synergies. And to introduce Seequent, a Bentley business, may I now introduce Bentley Systems’ Chief Product Officer, Nicholas Cumins, to whom the Seequent organization report.
Nicholas Cumins: Thank you, Greg. The world above ground is largely known and well described. The world below ground is uncertain because it is designed by nature and we cannot see it. Here, you need specialist expertise to understand nature's curves, grade, shade, anomalies, and exceptions. According to report by the Institution of Civil Engineers, the largest element of technical and financial risk lies in the ground. Studies have shown that unexpected problems related to ground conditions account for more than a third of product overrides. But imagine if you can see what lies beneath, you can derisk product delivery, you can greatly increase the resilience, the sustainability of the infrastructure. Seequent is a unique and truly innovative company in the subsurface. Seequent translated algorithm that originated in medical sciences into geology to create a paradigm shift in how the subsurface is interpreted. This capability, hone in the minerals industry where Seequent is very strong today has gone on to evolve into multiple industry verticals. This deep competence is well aligned with Bentley. Bentley has the goal to advance the design, construction and operations of the world's infrastructure to be more resilient and sustainable. To do that successfully, Bentley needed the best subsurface geoscience capabilities, the world has to offer and that is Seequent. Seequent brings a world-class leadership team to the Bentley family with a blend of geoscience and commercial experience for multiple industries, headquartered in New Zealand, half of the executive team is in other locations around the world as highlighted here. With a very strong history supporting the minerals industry, Seequent has built offices in areas of strong mining activities, such as Africa, Latin America, Western Australia, and Canada. And these are all highly complementary to Bentley office locations. Software development is concentrated in Ontario, Alberta and New Zealand. At the time of close, Seequent was around 430 colleagues. Through expansion and the addition of Bentley Geotech colleague, it is now around 570. Now, at Bentley, we've always been aware of the importance of the subsurface infrastructure. That's why over the last 10 years, we've acquired specialist products such as PLAXIS, gINT and Keynetix, which is now OpenGround Cloud. Seequent are specialists in the subsurface, in fact, global leaders in their field. So it makes sense to bring all of this together. The Bentley Geotech products and professionals have now been incorporated into Seequent, increasing the number of colleagues by around 30%. Now, why have we done this? Well, we're bringing like-minded and like-skill specialists and products together into a single team and plan. This will allow us to better address the need to connect this product to support improved and rapid decision-making. We now represent the largest geotechnical software portfolio globally, with the potential to leverage our strengths, to advance solutions that will greatly improve the resilience and sustainability of infrastructure. Let me explain now how these different products can be used together. For example, when approaching a new world project, the client will provide some initial site data, but the consultant will quickly pull on their database of ground investigations from neighboring sites, stored in gINT, historically but increasingly in OpenGround Cloud. These inputs along with TIS and survey data are used to build a conceptual site model in 3D using Leapfrog, Seequent’s flagship product for geological modeling. This is laying the foundation of the subsurface digital twin for the site. As the project progresses into the detailed design phase, using products such as Bentley OpenRoads Designer to geological structures and data about the soil and work properties from the site investigation are combined. And the design for cuts, enbankments and reinforce earth retaining structures are validated using the geotechnical analytical capabilities of GeoStudio and PLAXIS. If it sounds complex, it because it actually is, geotechnical professionals wrestle with subsurface uncertainty. They use different tools for different problems at times, multiple tools to triangulate on the right outcome as the drive from complexity to clarity. This is why many of our users choose both PLAXIS and GeoStudio because of their respective strengths. Now to better understand the earth, we need a range of specialist methods and alongside internal product innovation, Seequent has acquired businesses that broadened geoscience footprint. Greg noted at the announcement that we fully expect that program of acquisitions to continue. And to that point, since we closed, we have announced two acquisitions at Seequent adding process. The first is Imago. Imago is the relatively new innovative cloud platform to capture digital images of mining company exploration and operational drilling. Drill cores and sifts are incredibly valuable assets and form the basis of the evolution of the mineral resource. Imago brings the majors to a geologist anywhere in the world to speed up the assessment process. They're deploying machine learning to automate the assessment of characteristics, which you can see here. The next acquisition is AGS, it's worth explaining first that in the geosciences arena, there are large number of data types that are used to build understanding of the subsurface. Some of that data is historical and we use and some is captured for the purpose. Examples can include diagram measurement using drill holes, thousands of meters deep and even sophisticated measurements from inside those drill holes. There's a class of measurement called Geophysics that measures the response of the subsurface using sensing equipment. And based on that response, a wide range of attributes can be inferred and use as a proxy for the underground geology. For example, Seequent acquired GeoSoft in 2018, the company specialized in the measurement of gravity and magnetic changes. Another class of geophysics is electrical methods where electrical current is sent into the ground. And the response measured. AGS is a Danish software company that specializes in electrical methods, which can inform us about the presence of groundwater contamination, soil types, and geological threats, such as faults or cavity. AGS is only five years old and originated from research conducted by the Danish government to understand their national groundwater resources. Bentley’s acquisition of Seequent unlocks multiple opportunities. We're focusing on three objectives, ensure economic performance of infrastructure projects, ensure long-term sustainability of infrastructure assets and accelerate environmental sustainability. What I would like to do now is give you a couple of example of these objectives in action with Seequent software. So here's a great example of where Seequent software combined with Bentley greatly improves the performance of infrastructure projects. This is HS2, the high-speed well product that is one of the most complex project ever undertaken in the UK. And I'm sure many of you are very familiar with. The power of connecting people and software is well demonstrated with over 80 geoscientists working on a 90 kilometer section of the product. The product is supported by Seequent central platform to collate, analyze and share geological understanding with the wider project team. The model is the basis for design decisions that use Bentley software. With field data arriving just in time, the ground model can be updated and republish weekly. So the design team can respond iteratively to the updated geo insights. According to Mott MacDonald, in a single section called the three pay cutting, the real-time updates saves around one-year of construction time and tens of millions of pounds. Now all economies around the world are facing aging infrastructure as a major issue. Here's an example of how Seequent software is helping ensure long-term sustainability of infrastructure. The Upper Chelburn reservoir was originally constructed over 200 years ago with one abutment situated on a historic glacier landslide. There is a war at a history of seepage historic construction record and site investigation was blended with high accuracy LiDAR and new investigations to create a 3D geological model in Leapfrog that was integral to the design of routing and a new spillway by Mott McDonald Bentley. The 3D visualization can take up features and clashes that otherwise will not be seen in 2D cross sections. The results was highly targeted works that could be executed with confidence and overall cost reduced for the remediation. Going forward, we have active collaboration between Seequent and Sensemetrics in order to develop real-time integration from IoT devices to the ground models, to provide a framework for sub-surface monitoring solutions. For example, ground condition or water level changes detected by IoT in relation to earthquake can update the ground model and in turn generate updated stability calculations and risk factors. I mentioned that one of the strategic objectives was to drive sustainability. We're seeing a vast emerging market to apply geosciences to challenges that aligned with the U.N. Sustainable Development Goals. Seequent solutions are the rapidly expanding handprint around the world, by enabling our users to address environmental challenges, such that, salt water entering subsurface aquifers and damaging freshwater supplies, as a result of all the pumping from agriculture. Contamination from historical industrial activity or the increasing pressure placed on scarce resources of clean water by publishing increase and urbanization. We are witnessing a substantive shift globally in energy consumption patterns and changes to how countries and societies view energy. To transition from hydrocarbons, sourcing minerals to support this transition, now it's worth mentioning that the world’s electrification depends on a massive renaissance for mining. Seequent supports this in conventional mining of course, and some less conventional sources, for example, extracting lithium from high temperature geothermal fluids from underground, our development of sources of clean energy. Now let me drill down into one of the sources of clean energy and that's geothermal. Geothermal energy is about tapping into the subsurface heat of the earth to produce electricity or heat. Seequent is involved with over 50% of the world high temperature geothermal electricity production, a true renewable baseload power source. Outdoor electricity as an output is well-known, head maybe less so. Paris, where I come from has been using low temperature heating for 30 years. New past forge, which stands for the frontier of – for geothermal energy, it’s funded by the U.S. Department of Energy. This is a test bed to develop technology to unlock enhance your thermal systems, where heat is stimulated to come to the surface. Leapfrog has been the basis of the earth model design and is used to communicate to communities and regulators. They actually call it their go-to tool for communication. Forge believes that this approach could supply a quarter of the U.S. clean energy demand in the future. Now, this may be surprising, but Bavaria in Germany, where I live, as already said this as a heat generation target. These projects demonstrated working together, we have the potential to tap the earth boundless resources of heat and substantively reduce Avanafil party. Lastly, let me introduce Lyceum. Lyceum is sequence thought leadership event in order to replace our total asset for scholars to meet and debate. Started in 2016 in Perth as a small mining focused event, this now extends across a wide range of geoscience disciplines and industries and it's fast becoming the go-to event for specialists in this field. This theme for 2021 is together towards tomorrow. The aim is to help Geo professionals accelerate their understanding of the earth. A global event will be followed by four regional events. Now I would like to hand back to Greg to give an update on the infrastructure.
Greg Bentley: Nicholas, thank you. And especially for relating what Seequent’s users accomplish for responsible mining and environmental resilience toward achieving the U.N. Sustainable Development Goals. I know that our new Seequent colleagues all share zeal and responsibility for these advancements. We can together now deepen infrastructure, digital twins and deepen our collective commitment to these imperatives. In fact, I'm aware that ESG is a priority for everyone here. And it's especially a priority for us at BSY, but because an advancement in and through infrastructure engineering is vital to the world's consensus sustainable development goals and as you've seen for Seequent going digital is the palpable key to such advancements. I ask our colleagues to think of our own goals in this combined way. To remind us through Bentley Systems of our quite unique capabilities and enhanced imperatives and ESDG empowering sustainable development goals, including the examples that Nicholas also referenced. And while all organizations should attend to be evaluated upon and minimize their environmental footprint within ESG, for us, the much greater imperative must be ESDG, how are environmental handprint? So to conclude, I will briefly make the case that our imperative for ESDG can and should be empowered by digital twins, both our accounts, ESDG initiatives and digital twins will of course be in focused at the yearend infrastructure 2021. Our global thought leadership event which will again be virtual this year in early December and we will again have concierge arrangements for analyst, investor and investor attendees. Our virtual going digital award finalist presentations and judgings will lead up to the year and infrastructure, by way of accelerating progress toward digital twins. Among the 100s of projects nominated by our users again this year for going digital awards compared here to the year 2020 fully one third now credit reality modeling through our context capture software to produce the digital context for digital twins. 14% now credit iModels are containers for semantic alignment of ET engineering models and 11% now credit our iTwin platform cloud services. This year, I will be joined for keynote discussions by members of Siemens’ managing board and also prioritize what I call ESDG and digital twins. When we think of Siemens and sustainability, we come back to their distinctively impactful role in the world for electrification of infrastructure. By way of example, on the lower left here, you see a unique Siemens innovation already being proven in Germany, eHighways with overhead electric catenary lines to emissionlessly power heavy truck traffic on the auto bottom. The infrastructure engineering for this can be advanced through our new open rail overhead line designer, which incorporated Siemens proprietary modeling algorithms, but can be applied for any source of over headline hardware. And the recent commitments to carbon neutrality by many countries, such as the UK, it is acknowledged that success depends on electrifying 100s of kilometers of the rail network. Here is Siemens assessment of the significance of this new engineering application of ours, crucially addressing ESTG imperatives through digital twins. MOSES, our offshore wave motion simulation software, which has been a market leader for analysis of offshore fossil energy platforms, it’s also reaching notable new business growth levels this year for ESDG led opportunities. Because another of our new infrastructure engineering applications in the realm of electric power generation, open wind power now caters for floating off shore turbines in addition to fixed offshore wind structures that are necessarily closer to shores. The most abundant and consistent wind capacity is the 80% located within ocean depths where direct seabed connections are uneconomical. MOSES is needed to connect the engineering for interactions of waves with wind and tethering of floating offshore wind farm foundations. I believe there will be many such examples where ESDG and digital twin imperatives converge good business and good work and infrastructure engineering in going digital. In this regard, I'm pleased to say that later this month we will be highlighted as a Microsoft sustainability partner, in particular for our open flows water modeling offerings, which now include new Azure-based water sites digital twin cloud services. During this past quarter, we were also recognized by Microsoft U.S. with their U.S. partner of the year award for Azure mixed reality, a truly significant and competitive category for us and for Microsoft. The award is for virtualizing bridge inspections by drones and context capture reality modeling, so that inspectors can stay safe and engineers can work remotely, altogether assuring that bridges remain safe. At this link, you can watch Microsoft's own dramatic presentation of this breakthrough at their Ignite partner conference with users, Minnesota DOT and Collins Engineering. The subject of bridge safely brings back to mind this slide from last quarter about the catastrophe on the Mexico City, Metro caused by what amounted to a bridge collapse. You may recall that I also talk then at some length relating such risks to our new and unique capability to enliven infrastructure digital twins for the monitoring of environmental resilience made possible by our infrastructure IoT programmatic acquisitions earlier this year of Sensemetrics and Vista Data Vision, and their ongoing software integration into our iTwin platform. While examples of infrastructure vulnerabilities that we have reference such as Mexico City or the Genoa bridge collapse may have seen foreign and distance from the U.S., just since last quarter here our ongoing and perhaps compounding examples of dangerous environmental threats to our infrastructure here in this country. And then since last time we were together, Americans suffered our own catastrophe from infrastructure collapse. I bring this up not to be morbid, but to point out that as many of you know, and I've also been tracking, most world economies have already committed post-pandemic, as we'd all like to think to incremental infrastructure investment programs that most projects are not yet underway on the ground or even in engineering. But given that here in the U.S., our policymakers are still considering what could and should be our priorities. We have formed the coalition to make the case for the imperatives of digital twin technologies for our country’s existing infrastructure assets, whose life cycles Americans have no economical choice, but to extend, living and deep infrastructure digital twins, bringing together ET with IT and OT, or what’s feasible and what's necessary to sustain these assets fitness for changing purposes to facilitate energy transitions and to enable environmental resilience and adaptation. Compared to spending on new infrastructure capacity, the financial and environmental costs are modest or negative. And the return on investment is unprecedented, including for our safety and quality of life. We do think we've garnered some support among policymakers for this, if not yet as explicitly and legislation as we would like. So thanks for any help from those here and making this public policy case to further accelerate going digital and infrastructure and engineering, towards our ample tan and full potential for us at BSY. In the meantime, to review our most recent financial performance and updated 2021 outlook, over to David Hollister.
David Hollister: Thanks, Greg. Jumping right in here with revenues. Our second quarter revenues of $223 million grew 21% over the same quarter last year. Of course, most of that growth comes from subscriptions, which grew 17.6% over the year prior and still represent well over 80% of our revenues. So I offer much of my business commentary here as it relates to subscriptions. Our recent acquisition of Seequent contributed nearly $4 million of subscription revenue growth during the quarter, accounting for 2.5 points of growth. Continuing foreign currency tailwinds, contributed about 4 points of our subscription growth during the quarter. Thus, the remaining growth in subscriptions of a little better than 10% comes from business performance. As Greg mentioned, our software performance in the public works and utility sector of our market led the way in overcoming the macro induced drag on our performance in the industrial and resources sector, where our footprint of EPC accounts continues to suffer declines induced by capital project delays and cancellations. On a product dimension, our SYNCHRO construction practice geotechnical open flows water modeling and asset-wide information management and inspection solutions all had notably positive contributions during the quarter. On a geographic dimension North America, the UK and Europe also had notably favorable quarters, net of some disappointing ARR performance in China with its geopolitical challenges and in the Middle East corresponding to the ongoing oil and gas exposures. Our perpetual license revenues are down $1 million for the quarter relative to the prior year, and now represent only 5% of total revenues. We continue to observe some ongoing cannibalization of perpetual licenses and into term license subscriptions at virtualized subscriptions, a trend we expected and walk around. Our professional services revenues now over a 11% of our total revenues increased nearly $12 million or 83% over the same quarter last year. The majority of this increase was stimulated by acquisitions concluded throughout 2020 and in 2021 year-to-date, as we acquired and built our cohesive companies, digital integrator business. While more than half of this growth I would categorize as acquisition growth, these businesses post acquisition are growing in double-digits in generating low double-digit profit margins. I'll also point out that the relative mix shift favoring our professional services has a modest impact lowering our gross margins. However, we absorbed those in our commitment and delivery of improvement in EBITDA margins overall. As a reminder, our digital integrator strategy is not merely creating professional services revenue balk. We are strategically investing for digital twin software pull through and to demonstrate an attractive business model in efforts to stimulate an ecosystem of such digital integrators. To see them bring modest profitability contributions along the way is just about us. Year-to-date revenues are about $445 million and 17.4% improved over the prior year. Similarly, subscriptions are improved 14% with about 4% coming from currency tailwinds, 1% from Seequent and the balance from business performance. Perpetual licenses are off $1.7 million year-to-date, reflecting the trend towards subscriptions that I described for the second quarter. And professional services are up 78% year-to-date, also reflective of the dynamics that I’ve described for the second quarter. Moving on to recurring revenue performance. Our last 12 months recurring revenues, which include primarily our subscription revenues, but also will include certain services that we deliver under contractually recurring success plans, together increased by 12.1% relative to the same LTM period last year. As you've heard, Greg explain, and as I summarized in describing our subscription revenue performance, our subscription revenue performance and our recurring revenue performance has seen a trough in our current – constant currency net recurring revenue retention rate, which this quarter rounds down to 106%. Again, that drop is significantly due to the drag being created by our industrial resources sector and the related EPC account performance. On the other hand, we're fighting through this with new account growth, representing again 3% annualized subscription growth in the quarter. And in case it isn't clear this growth happens outside of and does not contribute to the returning revenue retention rates. I call it a trough, but obviously we just don't know. Historically, we've experienced a lag in seeing macro headwinds manifest, but also a lag in seeing relief once a macro recovery is evident. It's my anticipation that our nimble E365 contractual provisions will benefit us by at least partially shortening the lag once the recovery is evident. On the far right, you can see some rather dramatic constant currency growth in ARR. Seequent onboarded significant ARR, which has only grown further through June 30, and it's contributing about $90 million and nearly 13% growth relative to the same quarter last year. Even net of Seequent, it was another 10% constant currency ARR growth quarter for us, relative to the same quarter last year. Now moving onto profitability. Our GAAP operating income was $32.2 million for the second quarter of 2021, down $12.4 million from the same quarter last year. These GAAP results reflect rather substantial incremental charges for acquisition related costs, primarily Seequent and for non-cash stock-based compensation. There is a reconciliation schedule quantifying these impacts in the appendix to the materials today and in the 10-Q for your study. On the right, our adjusted EBITDA metric normalizes for this activity, where we does show our more expected improvement in adjusted EBITDA of 20% relative to same quarter of last year. And year-to-date adjusted EBITDA of $152 million is an improvement over 30% relative to last year. Year-to-date adjusted EBITDA margins are 34.1%. In a moment, you'll see that I'm still going to steer towards a revised outlook for the full year 2021, towards an EBITDA margin closer to 32%. You may recall from last quarter that I've tried to temper enthusiasm for our recent favorability in margins, as we continue to ramp out of certain unsustainable COVID-19 related cost savings. And as we reinvest cost savings into growth initiatives and recognize that seasonality of our expenses is heavier in the last half of our year. I won't go through that again, but remind you that it's still available for study. I may have to admit that 32% adjusted EBITDA margins is safe and conservative, it also represents the result of our carefully choreographed targeted 100 basis points of margin improvement each year, once the turbulence of 2020 is normalized. We're both investing for long-term growth and delivering on our margin expansion business model targets. I hope you can appreciate the trade-offs that we navigate when we do this. Moving on to liquidity. Our GAAP operating cash flows are 9.4% improved year-to-date compared to the prior year, and 21% improved for that second quarter LTM period this year, compared to the second quarter LTM period last year. These cash flows continue to outpace our adjusted EBITDA. We're focused and efficient with cash flow, but I don't represent it to volatility bad or good to be anything other than timing. We continue to believe that on average, our business will efficiently generate cash flow from operations at a ratio of 85% to 90% of adjusted EBITDA. The relatively out-sized cash flow generation for the period shown here are unusually favorable due to the conversion of certain ELS contracts with historical quarterly payment cycles into E365 contracts, where we seek to collect as a deposit the estimated consumption for a full year at the outset of the contract. Further, continued expansion of our term license program, where we also seek to collect a year of consumption on deposit in the form of CSS. Also has generated strong cash flows. As these programs grow, their cash flows outpaced the historical usage in resulting revenue recognition. On the flip side, the cash flows for just the second quarter of 2021 in isolation were unusually unfavorable due to the inclusion of $12.5 million of Seequent related transaction fees paid in the quarter, as well as $16.7 million paid incrementally in the second quarter of 2021, relative to the second quarter of 2020 for income taxes, which are currently reflected in prepaid taxes to benefit future periods. Related to this, let me just take a moment to describe the unusual tax benefit that's reflected now in both our quarter and year-to-date results. The company gets a tax deduction when deferred compensation share distributions occur and when certain stock options are exercised. The tax deduction is a discreet tax benefit recognized only when these distributions and exercises occur. And that's a subject to the fair market value of the underlying shares at the time. This significant tax benefit resulted in a second quarter and year-to-date tax benefit rather than provision and also rendered our prior estimated tax payments to be overly conservative. You'll see in a moment that I'm revising our estimate for the full year 2021 effective tax rate down to be less than 15%. During our second quarter 2021, we successfully executed another places on convertible notes for $575 million. Market conditions and receptivity were favorable for us and we took advantage of the opportunity to tidy up our capital structure by lowering the costs on our outstanding embeddedness and freeing up capacity on our $850 million revolving credit facility, that's enhancing flexibility for continued growth. Obviously, we also closed on the sequence transaction in late June paying $911 million in cash and issuing $3.1 million shares of our Class B common stock. Also worth highlighting is the $69 million we paid during the second quarter related to net settlements for deferred compensation plans, share distributions and taxation of stock option exercises. Participants in these plans are entitled and that settled with the company, leaving the company the obligation to remit taxes on their behalf. It effectively manifests as a share buyback, these transactions occurred to a much lesser degree in every other quarter, but each year, our second quarter is most impacted. As of the end of June, our net debt was $1.17 billion and net total debt leverage was 3.5 times. Our net senior debt leverage rounds to zero times given only $37 million was drawn on our $850 million senior secured revolving credit facility. $813 million remains fully available to borrow on the revolving credit facility. I had previously projected less than 4 times total leverage after the Seequent acquisition. And we're actually slightly more favorable at present and trending downwards with further deleveraging. As I've mentioned, I think leverage of 2 times or 3 times is optimal for us, but our business with its predictable and visible cash flows carries that well. Our capital structure is in very good shape and fully able to support continuing growth in the investment, which we intend. As we committed, we're now revising our 2021 full year outlook metrics. I show here a bridge on our revised revenue outlook, where the first adjustment we make is downward for the effects of foreign currency. The currency tailwinds, we anticipate in our initial outlook, which basically were exchange rates at the beginning of the year, have since shifted such that our portfolio of business and currencies yield a slight – yields a slightly stronger U.S. dollar, and that's $10 million less than expected revenues for the full year 2021. Of that $10 million, $3 million has already manifested in the first half of 2021 and another $7 million we expect to manifest in the last half of 2021, assuming exchange rates remain where they were as of late July on average. Of course, the next adjustment is to pick up the revenues from Seequent, where we expect to report $45 million of gross revenues, but that will be netted down by the opening balance sheet, fair value adjustments to deferred revenue, which we affectionately know as the acquisition haircut courtesy of the accounting rules. Seequent revenues are rather seasonal based on renewal patterns and the last half of the calendar year, represents its seasonal low period and I'll show this in a moment. The last item to note is a modest expected increase in our business performance relative to that assumed prior initial outlook. Where that’s raising our outlook and narrowing the range, so now be $945 million to $960 million for the full year of 2021 total revenues. And as mentioned, here is the seasonality for Seequent and its business profile based on past and expected near-term performance. Due to its legacy as a New Zealand company end of March 31 fiscal year, the first calendar quarter of each year is by far its heaviest renewal quarter. And that's the strongest quarter for revenues and ARR improvement. Building this into Bentley Systems should help to counterbalance that systems’ fourth quarter renewable seasonality. Also because Seequent tends to bill in U.S. dollars and incur expenses in other currencies, going forward, it should contribute slightly to improve the Bentley Systems' natural hedge against foreign currency fluctuations. So I'll conclude by summarizing the updated outlook for our key financial metrics. I will say that in driving this update, we don't assume into them any meaningful changes in macro conditions for better or for worse, relative to what we're seeing and experiencing today. I walked you through the bridge and our updated revenue outlook, which has increased now to $945 million to $960 million, which again is net of $10 million reduced for exchange rates and $5 million reduced because of the Seequent acquisition deferred revenue haircut. Our constant currency ARR growth is now expected to be 22% to 24%, which includes 12% to 13% from the acquisition and then subsequent growth from Seequent and 10% to 11% from all other business. Adjusted EBITDA, as I mentioned is being calibrated towards a 32% adjusted EBITDA margin, which based on the updated revenue outlook should be between $305 million and $310 million. This reflects expected ongoing reinvestment of cost savings in the growth initiatives, seasonality of our core balance systems expenses way to do the last half of the year, and also absorbs the margin dilution in the last half of the year from Seequent due to its seasonality loans, as I just showed. We're also now spending a bit more on interest, where we expect total expense to be $11 million, not quite half of which is actually cash interest. I described the discreet tax benefits that are driving a more favorable and effective tax rate, which I expect for this year to be less than 15%. Those discreet favorable tax benefits will continue for at least the next five years, providing ongoing favorability towards our effective tax rate, which of course is otherwise subject to any pressures from major tax reform. We've updated our expectations on fully diluted average shares, outstanding due to the convertible notes issuance we've taken on and are now expecting that to be between 328 and 330 million shares. And this also anticipates no change to our pace of CapEx investment, more our current quarterly dividend. And with that, Carey, I think we're ready to move on for some questions.
A - Carey Mann: For our first question, we'll go to Matt Hedberg from RBC.
Greg Bentley: Matt, we're not hearing you.
Matt Hedberg: All right. Yes. Hey guys, can you hear me now?
Greg Bentley: Yes.
Matt Hedberg: Hey, thanks for taking the question and congrats on a really strong quarter. Greg, I mean, I guess what really stood out to me, it was lot of good detail. It really feels like, you're returning now to pre-pandemic levels in lot of aspects of your business. And I think you guys noted that license revenue was down and that's a favorable trend, E365 usage was up, I guess, I'm wondering when you look across the broad business, are you seeing consumptions, patterns change in some of these customers that were maybe more impacted by the pandemic? In other words, are people leveraging your technology even more so to a greater extent than they did pre-pandemic, because of some of the stuff that they learned about digital transformation, leveraging technology? Just sort of wondering on a broad scale, if you've sensed any change there.
Greg Bentley: Hi, thanks. So all of the E365 accounts, and you see how that's growing are because of these accounts want success programs for new digital workflows. I’d like to say they expect their workload to grow and are concerned that they won't be able to grow their workforce to the extent that they – of the new work and hence new digital workflow methods and of course, for us, that can be application, mix accretion with more specialized products such as the examples we show here. I think you're right.
Matt Hedberg: That's helpful. Then maybe just one more, David, you noticed that you're not making any additional macro assumptions within your guidance. I think the delta variant has been on a lot of people's minds recently, anything there that you're sensing from the field or is that – is it still too early to get a sense for that?
David Hollister: Yes, I think, I think it's still too early. I've not heard one negative feedback point from the field so far.
Greg Bentley: On the other hand, it changes by the day, our poster child for back to work has been China and the recent news is concerning there.
Matt Hedberg: Got it. Well done thus far in the first half of the year. Congrats on Seequent closing. Thanks guys.
Carey Mann: Thanks, Matt. We'll go to Jason Celino from KeyBanc.
Jason Celino: Hey guys. Thanks for taking my questions. Maybe just two for me. It looks like the implied ARR guidance from Seequent is like $94 million. That's an uptick from the kind of $80 million commentary that you gave previously. I guess, any further thoughts on Seequent’s growth or margin profile now that the acquisitions finally closed and then?
Greg Bentley: Yes, just – Jason. I would say just a confirmation that Seequent is growing twice as fast as Bentley Systems, we're seeing that and that's concerned. And on an annualized basis, I described their margin profile as similar to Bentley Systems. You won't see that in the last half of the year, because of the seasonality, but on an annualized basis, their margin profile will look like Bentley Systems. And we're going to program it to look like Bentley Systems, because we're going to keep investing in that business to fuel that continued growth.
Jason Celino: I guess I'll just ask Nicholas, I think we’re organizing as well, so that, that momentum continues and that we add to it through the reverse integration of our existing geotech business to decline for a strong momentum, right?
Nicholas Cumins: That's exactly right. So we are keeping Seequent as a standalone business unit, according to me, but they’re keeping all of their core business functions. The only changes we're making to their creating model are to either accelerate their growth for compliance purposes. The key objective is really to continue to grow that business as fast as they had been growing stand-alone, if not even faster under part of the Bentley family.
Jason Celino: Okay. Excellent. Thank you. And then one quick one for Greg. You talked about the 5% higher TAM based on this new study and then AAC was growing and spend more than so on the manufacturing side. Is there any, – I guess, what is driving that outperformance and growth? Is it investments in certain areas, certain products, any thoughts there? Thank you.
Greg Bentley: Well, of course the report goes from 18% to 19% and when you – we will publish the report in due course here, you'll see that they – we measured a number of AEC engineers, the number of infrastructure engineers, as well as their spending. And they are also able to research this in more countries than before. I think going digital and going virtual will have accelerated that even more so, but this notion that, infrastructure engineering had been behind, but has this appetite to catch up now that there is lots of new work coming and we can't produce in the world even more civil structural and geotechnical engineers will make them more productive and make them collaborate better and those – the answer for that last year, not within the study has shown that.
Jason Celino: Great, thank you.
Carey Mann: I'll go to Matthew Broome from Mizuho.
Matthew Broome: Thanks very much. Just in terms of digital twins, maybe if you can talk a little bit about us, so the momentum for that in the course in terms of interest and pipeline. And given your ongoing efforts to evangelize that technology? And then to what extent are you seeing ecosystem partners ramp their investments in this area?
Greg Bentley: Well, we are working hard to evangelize, especially among ecosystem partners and our acceleration venture fund includes now technical support efforts and so forth to help with that. And ecosystem exists within our own applications, where our effort now is to have the platform underlie the digital clean advancements for all of our products, we’ll use the term iTwin and power increasingly for our products. And I think we are making headway there to see 11% of the projects nominated this year, referred to our iTwin platform, and they could be using just parts of it, not all of it necessarily. But we're trying to go broad with the iTwin platform at the same time as we go deeper with the examples, like the communication towers that I talked about last time that are moving ahead. And then eventually coalesce everything somewhere in between, we're working on both of those at the same time, going broad and going deep, but it's still very early.
Matthew Broome: Right. Of course. And then just longer-term, do you have any expectations in terms of what the E365 license mix will be for you?
Greg Bentley: Well, we – there are very many large select subscriber accounts who never went onto our ELS program, and that's the next set of priorities for us. Some of those have all very best interest are gone to E365. But we think there is another equal amount of E365 that we can gain there and the feedback from E365 has been very strong, accounts want the success initiatives and the [Technical Difficulty] embedded experts that we're getting better at having just started it a year ago, we're very encouraged by it. And of course the asset test will be the EPC, those accounts want new digital workflows. They want to be doing things like changing their offshore mix of business to floating – to wind – offshore wind fixed and floating platforms. Also floating solar is a horizon for them and something like a success blueprint and an E365 program gets their full attention. So yes, we think even though the ELS program will exhaust within the coming year target place, yet more years of such opportunity for us.
Matthew Broome: Great. Okay, thanks. Thanks very much, Greg.
Carey Mann: We’ll next go to Kash Rangan from Goldman Sachs.
Kash Rangan: Okay, great. Congratulations, Greg; good to see you on this webinar. I was intrigued by your comment – differentiating the recovery in commercial versus civil infrastructure. I would have thought that probably received rebound in civil infrastructure first before we see commercial, because there are still – a lot of us are still working from home. Wondering if you can expand your thoughts on that. And I think you also made a comment that the owner-operators, so it's still lagging as far as the sentiment relative to the contractors. So we can just expand on those content. And finally, any thoughts on the competitive environment, I know that you've acquired Seequent gives you a larger tent. So as a result, are you seeing less competition, more competition or about the same, any thoughts there would be appreciated. And thanks once again. Congratulations.
Greg Bentley: Well, I'll start with the last part of the question. I think everyone sees infrastructure as a great opportunity for going digital advancement. So I'd say there is more competition all the time. I don't think that's a bad thing, because there is so much – our TAM is such a multiple based on what product engineer has already spent, just catching up on that. Let me go back to bisector and be more clear. So public works and utilities, there never was a slowdown if you like – that continued to grow at various rates through the pandemic, commercial and facilities dipped and now has rebounded above the pre-pandemic levels. In public works and utilities, contractors stayed busy, owner-operators. Some of them had work schedules that changed and they had furloughed workers and so forth. So there were those institutional variations, public works and utilities, the civil side, as you say, generally has stayed strong. In commercial and facilities, we see the owner-operators responding faster and I just use this example, maybe like us, we believe we need to make changes in the fitness of our office facilities to attract our workforce back, that's just as surmise on our part. So of course our facilities, owner-operators are coming back sooner, public works and utilities, nobody ever was slowing down. But there were some work furloughs and so forth on the younger side that didn't – that won’t reflect on the contractor side. And generally, I think the public works and utilities folks are expecting this new work to come across the world in the commitments that are, of course not limited to road and rail, but especially in the energy grid communications networks and in lot of all these environmental resilience opportunities, where it's – civil engineers have to do the work and are eager and able to do the work.
Kash Rangan: Got it. Thank you. Thank you, Greg.
Carey Mann: Now we’ll go to Gal Munda from Berenberg.
David Hollister: Gal, we don't hear you yet. Carey, let’s come back to Gal.
Carey Mann: Yes, so let's go to Joe Vruwink from Baird.
Joe Vruwink: Okay, great. Hi everyone. I wanted to discuss a bit, your advocacy here in the U.S. around smarter infrastructure investments, particularly as we contemplate stimulus measures. What has been the feedback from stakeholders and governments, your customers, as you've been communicating this idea and then if this advocacy does result in action, how would you expect that to manifest for Bentley Systems in terms of maybe particular areas of the business or products that could potentially fill this void relative to practices standards that aren't being pursued right now?
Greg Bentley: Joe, the feedback generally is that there's enthusiasm about going digital, especially for construction and project digital twins for new capacity of infrastructure. But our point is that's great. However, most of our infrastructure in the future, 99% is the infrastructure we have now. And digital twins are even more immediately applicable with drone inspection and where you can find the existing modeling data for digital twins and use it to maintain fitness for purpose. And now connect it up, make it living with IoT inputs to avert catastrophes and continue safety. That is a new thought. What we advocate in federal legislation is to provide incentives to the states and I'll use the example of a transit agencies especially and we think there's some receptivity to that, but it's tough to get above the noise for everyone lobbying for their particular new capacity project. We're just saying, do what you can there. It's still going to matter less in terms of quality of life and energy transition and safety then would digital twins for our existing infrastructure. That's rather an urgent need. What translate for us is to help the engineering firms get in the business of providing the digital twins for the assets they've created on behalf of the owner-operators. But we're pretty hopeful that metros and transit will be a next entry point on that, however.
Joe Vruwink: Okay. Okay. That's great. And then just on Seequent, so my understanding is, Seequent is growing at twice the rates as kind of core Bentley Systems, but now you have this dynamic where there's certainly acquisition opportunities. You're already executing on that. You're incorporating the Bentley geotechnical product. So I would imagine there's a cross sale synergies that can be achieved. What TAM Seequent grow by if that's two times as better now, before some of these things gain traction, I guess what would be the targeted rate of growth?
Greg Bentley: Well, I'm going to ask Nicholas to come in, but my observations are everything below ground is going from 2D to 3D, and you can only do that with the geoscientist portfolio and Leapfrog. So that's a one-time but continuing momentum, mining is a great business, as important as it is now for the world's electrification. And then we have the opportunity for these synergies in infrastructure and environmental. So I think our expectations should be, Nicholas, you and the team will be delivering on that expectation. Go head, Nicholas.
David Hollister: Yes, so just real quick, Nicholas, first. So Joe, the expectations for Seequent acceleration they're in the revised guidance. But certainly this is going to talk with some enthusiasm here about where we can go with this.
Nicholas Cumins: Yes, fantastic growth opportunities Seequent now part of the Bentley Group – the Bentley family. The first one and the first priority actually, with Seequent products or Bentley now is to accelerate their growth in Seville, right. We have actually a number of joint customers has already joined users. But there's a lot of potential for cross selling there. So that is actually our number one priority. And then the other way around actually we don't have that many secret accounts who use Bentley products in mining. So mining actually could be a growth opportunity for the Bentley products as well. And then energy, in general, we don't have a lot of crossover here at all, actually between Seequent and Bentley, but we see that as a very important growth opportunity when it comes to renewable energy, when it comes to clean energy, when it comes to energy transition.
Joe Vruwink: Great. Thank you very much.
Carey Mann: We’ll next go to Jay Vleeschhouwer from Griffin.
Jay Vleeschhouwer: Thank you. Good morning. For Greg and Nicholas first, couple of questions around the recent ProjectWise and SYNCHRO conferences, there was some interesting commentary at both of those events. In a session, the ProjectWise conference, it was disclosed that approximately 47% of your design users employ ProjectWise, it wasn't clear that should be considered a high attach rate or otherwise. And at the SYNCHRO conference, it was quite reasonably said, that project delivery is adjacent to design delivery. The question then is how does Bentley see its overall design or ET strategy, which is to say, could you talk about your internal investments in the ET business the importance of or likelihood of accelerating your growth or share in ET as our credit yet for the project delivery business and then a follow up for David? Thank you.
Greg Bentley: Well, I guess remark upon the intense rate with project lines. We think it should be a lot higher. The answer and the investment is in ProjectWise 365, ProjectWise design integration, the workhorse for work sharing is – it's great industrial strength, but there are a lot of projects that are smaller that are receptive to Instant On, no administrator. And of course, there are competitive products that are new there. So ProjectWise 365, the Microsoft commercial marketplace. Virtuosity our inside sales e-commerce is succeeding in introducing ProjectWise 365. So that's the answer to close that off and make – and should say project delivery and design delivery in inclusive and comprehensive. And the SYNCHRO opportunity is to have what's designed in 3D become 4D in construction rather than become 2D. Ultimately in construction, all of that has to come together. It's why we group project delivery and the cloud services together. I know we're being quick and an answer to that. Very good question, which we'll come back to more answers over time. Nicholas, do you want to add something to that?
Nicholas Cumins: The only thing I will say, the focus for SYNCHRO is very much in Seville. So this is where we're looking from a product standpoint for the synergies between our design products and our project products to make sure we can deliver true synergies here for our customers in Seville infrastructure.
Jay Vleeschhouwer: For David, looking back over the last year considering the investments you've made in cohesive and your internal investments in services capacity, could you say to what extent that capacity might have changed or grown over the last year? In other words, how well resourced are you for what you anticipate in your deployment and engagements pipeline, particularly for project delivery and your introduction with new capabilities like Greg mentioned, ProjectWise 365, which we're also calling out blueprints, which seems to be a new, new-ish offering, so just perhaps talk about some connection between services capacity in your pipeline.
David Hollister: Okay. So I think about cohesive a little bit differently than the implementation work you're describing for a ProjectWise or an AssetWise implementation. I think that's where your focus is, are we staffed well for our core product implementation work? Are we staffed well to deliver on those success blueprints? And I would say it's always a trade off to make sure that we have enough resources on, on board to deliver what we sell. But, not so many that our utilization rates suffer. It's a constant back and forth. I feel we manage it well. We talk about the expansion of the E365 program. And frankly, the rate limiter there is we want to make sure we can deliver well on those programs with those success plans and success blueprints. So we're metering frankly our growth, in E365 to make sure that we are well-resourced to deliver that. So I would say, we're in a good spot, Jay, but it's a pretty constant back and forth to make sure that resource to what we're selling.
Greg Bentley: The best answer is for ProjectWise and AssetWise to require fewer implementation resources and ProjectWise 365, for instance, requires none. The cohesive group on the other hand are going to be working on digital twin projects that involve a lot of data, quality issues, a lot of enterprise integration issues, such as Maximo, where most of them start that's a different direction than implementation of ProjectWise and AssetWise alone. So it’s sort of two separate workforces. One is getting smaller. Our professional services implementation has more and more of them become instead success managers in E365, whereas the digital integrator workforce in cohesive is growing. But hopefully what it does is learned that business well and sets off many external digital integrators taken up the slack so that it doesn't have to grow beyond what we need to do to learn to do that well.
Jay Vleeschhouwer: Thank you everyone.
Carey Mann: All right. With that, we'll wrap up the call. Thank you everybody.